Operator: Good afternoon, and welcome to the Personalis Third Quarter 2025 Earnings Conference. [Operator Instructions] Please note that this event is being recorded. I will now hand you over to Caroline Corner of Investor Relations. Please go ahead.
Caroline Corner: Thank you, operator. Welcome to Personalis' Third Quarter 2025 Earnings Call. Joining today's call are: Chris Hall, Chief Executive Officer and President; Aaron Tachibana, Chief Financial and Chief Operating Officer; and Rich Chen, Chief Medical Officer and EVP, R&D. All statements made on this call that do not relate to matters of historical fact should be considered forward-looking statements within the meaning of the U.S. securities laws. For example, any statements regarding trends and expectations for our financial performance this year and longer term, cash runway and liquidity position, revenue expectations and timing, size and booking of orders, products, services, technology, expansion of clinical volume, reimbursement goals, the outcome and timing of reimbursement decisions, expectations for our existing and future collaboration activities, cost expectations, market size and our market opportunity and business outlook. These statements are subject to risks and uncertainties that could cause actual results to differ materially from our current expectations. We encourage you to review our recent filings, including the risk factors described in our most recent filings. Personalis undertakes no obligation to update these statements, except as required by applicable law. Our press release with our third quarter 2025 results is available on our website, www.personalis.com, under the Investors section and includes additional details about our financial results. Our website also has the latest SEC filings, which we encourage you to review. A recording of today's call will be available on our website by 5:00 p.m. Pacific Time today. With that, I would like to turn the call over to Chris.
Christopher Hall: Thank you, Caroline. Good afternoon, everyone, and thank you for joining us. Q3 was another step forward in our Win-in-MRD strategy. We delivered 4,388 clinical tests, a 26% sequential and 364% year-over-year growth and now have 700-plus physicians ordering NeXT Personal. We also submitted lung cancer for coverage, and we now have 3 dossiers under review by MolDX as we continue to target 2 coverage decisions in 2025. Our clinical evidence from recent Phase III programs and the CATE trial launch shows how ultrasensitivity can detect progression several months before imaging and provide greater confidence in a negative result. While biopharma project timing continues to have variability, the underlying MRD demand is strong, clinical adoption is compounding and our cash position gives us the flexibility to execute. For those listening in for the first time, Personalis is a leading company helping partners, patients and doctors see more in cancer samples. Our ultrasensitive NeXT Personal test is capable of detecting approximately one single fragment of tumor DNA in a million. This is not merely an improvement. It is a clinical necessity that allows us to detect recurrence months ahead of standard imaging and provides more confidence in a negative result. The market is growing rapidly for these types of tests and is expected to mature into a $20-plus billion opportunity for which we are exceptionally well positioned to command a strong share. We're also a leader supporting biopharma companies with our discriminating platform, and that is used to analyze cancer tumors and identify new biomarkers. Our platforms are used to build personalized therapies and allow physicians to personalize treatment for cancer patients. Now turning to our Q3 results. We delivered $14.5 million in revenue in the quarter, which was above the high end of our estimate. Our progress this quarter is best highlighted by our clinical volume. We reported 4,388 tests this past quarter, representing a 26% growth over the previous quarter. To put that in context, it's worth pausing to note we did just 945 tests in the third quarter of last year, and our performance this quarter reflects a 364% year-over-year growth. And cumulative to date, we have delivered more than 13,000 tests to help patients. We're providing an updated range for full year revenue in the $68 million to $73 million range. The uneven biopharma spending environment we discussed last quarter has persisted, creating continued variability in the timing of large project-based work. While the underlying demand for our strategic MRD offerings remain exceptionally strong, this quarter, the biopharma volatility is compounded by logistical delays we believe are unique to this quarter and are impacting the timing of samples for several large projects. This increases the variability of our Q4 biopharma revenue. As a result, we are prudently adjusting our full year guidance to reflect these updated project time lines. This adjustment does not reflect a change in underlying demand for our technology and offerings, but rather the lumpy and unpredictable nature of our legacy translational research business. And while we manage the variability with discipline, our strategic focus remains squarely on the key drivers of long-term value, clinical adoption and reimbursement. On that front, we continue to execute strongly. We advanced our goals this quarter by submitting an additional indication for coverage lung cancer, meaning we now have 3 dossiers under review with MolDX. We remain confident in our data and continue to target coverage for 2 indications by the end of the year, though exact timing is dependent on MolDX review. Our progress this quarter is a direct result of the execution of the key pillars of our Win-in-MRD strategy. Now let's walk through the updates. The first pillar is accelerating clinical adoption. The oncology community is voting with their orders. We continue to see impressive sequential growth in clinical test volumes. We now have over 700 physicians ordering NeXT Personal, and this growing base of physicians understands that when it comes to residual disease, ultrasensitivity matters. Our retention is high and the growth we are seeing is a direct result of NeXT Personal providing greater confidence in a negative result and the ability to detect recurrence earlier than any alternative. The clinical volume growth is the single most important leading indicator of our future high-margin revenue ramp as reimbursement comes online. This momentum is being driven by our partnership with Tempus, which continues to exceed our expectations. The collaboration has been so effective that we've already achieved the primary volume target we set for the entire year. When we set our targets at the beginning of the year, our goal was to grow 30% to 40% each quarter, ending the year with around 4,800 quarterly tests. We've effectively reached that milestone a quarter early and having achieved our goal ahead of schedule, our focus for the rest of the year now shifts to responsibly scaling our operational and commercial foundation. Additionally, we are strategically expanding our in-house sales force to complement the Tempus team to ensure we are fully prepared to capitalize on the inflection point of Medicare coverage. The second pillar is driving reimbursement and adoption through clinical evidence. We are proud of the latest NeXT Personal data from AstraZeneca's Phase III studies. First, in neoadjuvant lung cancer, data from the NeoADAURA Phase III trial was presented at the World Conference on Lung Cancer that demonstrated the superiority of NeXT Personal in the neoadjuvant setting. NeXT Personal showed significantly higher baseline sensitivity for ctDNA detection compared to a leading gene mutation-based test, offering physicians a more accurate assessment of disease burden and the ability to monitor treatment response. The data also showed that our test was prognostic for outcomes across treatment arms. Second, in the adjuvant EGFR-mutated lung cancer, further data from the Phase III LAURA trial was presented at ESMO, which showcased the utility of NeXT Personal for treatment monitoring. Our assay demonstrated a median lead time of 5 months in detecting MRD progression ahead of imaging and standard expert review. Lead time is a difference maker for patients, underscoring the value of an ultrasensitive approach for earlier intervention. These studies demonstrate how our biopharma partners are utilizing ultrasensitive MRD testing with NeXT Personal to better understanding response to therapy in their Phase III studies. In addition to these results, we are excited to announce the launch of the CATE clinical trial with the Yale Cancer Center and the Translational Breast Cancer Research Consortium. This prospective multicenter trial is a step towards establishing clinical utility for ctDNA-guided treatment in high-risk HR-positive HER2-negative breast cancer. This study is designed to generate evidence that will help integrate NeXT Personal into the standard of care, empowering oncologists to move from surveillance to preemptive treatment based on our ultrasensitive detection. The third pillar is leading with biopharma partners. Our technology offers our partners a powerful way to improve their clinical trials. The use of our NeXT Personal technology allows them to derisk their pipelines, reach critical go/no-go decisions sooner and enroll the right patients for their studies. We believe this leads to improved financial performance for our customers, cementing the value of our ultrasensitive approach. As a result, the underlying demand for NeXT Personal clinical trials has never been higher. We capitalized on this demand by signing 2 major prospective clinical trials this quarter. As mentioned before, our MRD biopharma revenue is set to grow approximately 300% year-over-year. As we wind up the year, Personalis is executing with precision on a winning strategy. Just 2 years ago, we launched NeXT Personal and started our journey to redefine the MRD market with an ultrasensitive approach. We made tremendous progress in this time, having built a network of over 700 physicians and numerous collaborators and biopharma partners adopting NeXT Personal. I want to thank our shareholders, partners and employees for their dedication and commitment to the mission as we redefine the standard of care for cancer patients. With that, I will turn it over to Aaron to review our financial results.
Aaron Tachibana: Thank you, Chris. I will discuss our third quarter 2025 results and then cover guidance. Total company revenue for the third quarter was $14.5 million, representing a 44% decrease compared with $25.7 million for the same period of the prior year. The decrease in revenue was driven by the expected decline of $4.6 million from Natera as we wind down this business, a $4.2 million decline from the VA MVP due to fulfilling most of the task order received in 2024 within the first 2 quarters of this year and a $2.5 million decline from biopharma customers. Biopharma revenue was $13.2 million in the quarter, representing a 16% decrease compared with $15.7 million for the same period of the prior year. This decline was primarily due to the prior year, including a significant amount of revenue from Moderna's Phase III melanoma trial that concluded enrollment late last year. The third quarter of 2025 year-over-year revenue decline from Moderna was $6.1 million and was partially offset by the increase in NeXT Personal MRD revenue from several biopharma customers and accounted for more than 1/3 of the total biopharma revenue in the quarter. We are pleased with the adoption of NeXT Personal that is taking place, and it highlights the solid execution of our Win-in-MRD strategy. For clinical revenue, we recognized $0.4 million of revenue from our NeXT Dx and NeXT Personal molecular tests compared with $0.3 million for the same period of the prior year. Gross margin was 13.2% in the third quarter compared with 34% for the same period of the prior year. The year-over-year decrease of 20.8% was expected and primarily due to the 44% lower revenue volume which reduced the amount of fixed cost absorption and also an increase in clinical test costs in advance of reimbursement. The third quarter impact from our investments in unreimbursed clinical test costs was approximately 18% and excluding those expenses, gross margin would have been approximately 31%. We are being prudent by balancing test volume and margin dilution. And looking a bit further out in time, we expect the investments in test volume to put us in position to achieve a higher level of revenue once reimbursement is obtained. Longer term, we expect total company margins to expand beyond 50% once we have obtained reimbursement coverage for more than a few indications, and we also achieved greater revenue scale. Operating expenses were $25.2 million in the third quarter compared with $23.1 million for the same period of the prior year. Most of the year-over-year increase was attributed to selling expenses related to our clinical test volume growth. The third quarter R&D expense was $12.2 million compared with $11.7 million for the same period of the prior year, and SG&A expense was $13 million compared with $11.4 million for the same period of the prior year. Net loss for the third quarter was $21.7 million compared with $39.1 million for the same period of the prior year. The prior year's net loss included a $26 million noncash expense related to the warrants issued to Tempus that were exercised in the third quarter of last year. Now on to the balance sheet. We finished the third quarter with a strong balance sheet with cash and short-term investments of $150.5 million and no debt other than some small equipment loans. The cash usage from operations and capital equipment additions for the third quarter was $23.4 million. We expect to use approximately $75 million for the full year of 2025 and end the year with more than $130 million of cash on our balance sheet. The cash usage estimate has remained the same throughout the year, while our revenue estimate at the midpoint has declined by approximately 17% from the original range. This is a critical proof point of our financial and operational discipline. It demonstrates that as market conditions have shifted, we have proactively managed over $14 million in spending to fully offset the revenue variance, ensuring we continue to fund our most important strategic investments while holding our bottom line cash commitments to our investors. Now I'd like to turn to guidance. For the full year of 2025, we revised our guidance and now expect total company revenue in the range of $68 million to $73 million as we reduced the range from the prior guidance of $70 million to $80 million. Revenue from pharma tests and services and all other customers in the range of $50 million to $54 million, for which the range was reduced from the prior guidance of $52 million to $58 million. Population sequencing plus enterprise customers in the range of $16.5 million to $17 million, an increase from the prior guidance of $15 million to $16 million. Revenue from clinical tests reimbursed in the range of $1.5 million to $2 million, which is reduced from the prior guidance of $3 million to $6 million, reflecting that the company has not yet received reimbursement approvals underpinning the previously higher estimate range. Gross margin in the range of 22% to 24%, no change from the prior guidance and reflects investments in clinical test volume in advance of reimbursement. Net loss of approximately $85 million, no change from the prior guidance and cash usage of approximately $75 million with no change from the prior guidance. We look forward to updating you on our progress during the next conference call in a few months. And with that, I will turn the call back over to the operator to begin the Q&A session. Operator?
Operator: [Operator Instructions] Our first question is from Thomas Flaten with Lake Street.
Thomas Flaten: Chris, you mentioned in the last quarter call, there were a couple of very large customers kind of on the cusp of coming online with you. Could you give us an update on those?
Christopher Hall: Yes, they both come online. One of them was a big driver of our Q3 numbers. I don't know if you noted that almost 1/3 of our revenue now came from MRD this last quarter. That was directly driven by one of those customers. And the other one had some revenue in this quarter and then it will bleed into Q4. So those are still on track, and we are still growing MRD revenue 3x this year and the demand for our MRD technology has been super high, and it's been a really, really good quarter. One of the things we also noted, and we can't announce the names of them yet, but we've signed 2 large prospective clinical trials that will start to kick in and be serviced over the next 2 to 3 years with biopharma customers. So we've continued this year to make really, really promising progress with biopharma customers in terms of MRD adoption.
Thomas Flaten: That's great. And Chris, in your prepared comments today, you said something about a logistical delay specific to this sector. Could you clarify what you meant by that?
Christopher Hall: Yes. So we've had some samples run into problems at customs. I mean one of the challenges with the business as it's constructed now, is that it's almost all revenue from biopharma customers, and those are based on large cohorts and so -- and larger million dollar-plus studies. So 1 or 2 things, having some hiccups or some challenges along the way and cause us some -- a lot of variability. And we've had some challenges getting samples across the border. We don't know whether that is due to the government shutdown, honestly, Thomas, or whether that's something else. We know there's been some other challenges with getting things over. We've had one sample cohort be turned around, and we're going to try to get it back in. And so we thought it was really prudent to just make the range wider on the bottom end in case those samples don't end up making it in here in time to run them in Q4 in that case, those slip into Q1. And that's what accounts for the challenge. And we said it was unique to this quarter. We always have some challenges getting samples, but we haven't run into problems before at customs like this. And so that's -- we think that's probably related to what's happening with the shutdown, where there's probably a bit less staffing and some paperwork isn't done proper, it may get turned back. And so we're still working on it, we're still optimistic, everything will flow in here, but we just want to be prudent and create a wider range.
Operator: Our next question is from Mark Massaro with BTIG.
Mark Massaro: Yes, great to see the progress. I just wanted to start, and I apologize if this is nitpicky. The NeXT Personal growth was just a hair shy of your previously communicated 30% to 40% a quarter growth coming in at plus 26%. I'm just curious if that is largely due to you metering or tempering demand ahead of reimbursement? Or did you see anything in the field that might have surprised you? Obviously, this is a competitive space. So I was just curious or if there are some other timing elements. Any clarity there would be helpful.
Christopher Hall: No, I appreciate it. Thanks for flagging it, Mark. We -- when we said 30% to 40% at the beginning of the year, the goal was to end the year in that 4,800 test mark, and we're largely there. So I wouldn't say we metered per se, but we definitely were very careful and are being very careful to manage the investment here. I mean we're investing a lot of money ahead of reimbursement and building demand, building usage, building KOLs. So kind of rolled into where we wanted to be. And so yes, we were thoughtful this quarter. I think Tempus has said something similar ahead of reimbursement being careful, and we also did that and did that in conjunction with them. Third quarter is always a tougher quarter, Mark, in terms of volume being flat. Q2 and Q4 are always the big quarters in the clinical business. And so we didn't really roll into it. So that's sort of the seasonality that we typically see, but we didn't respond by throwing more resources at it. I will say that we will continue to be thoughtful about managing it in the context of the demand, but that's -- so we felt like it was -- we're in a really good spot. We'll be where we wanted to be in the [ end of the ] year.
Mark Massaro: Okay. And I think you lowered the guidance on the clinical revenue contribution here in Q4. And I just want to ask what gives you confidence that -- maybe if you could characterize your conversations with MolDX just a little bit at a high level. Is this still an active review? Because I think you talked about still expecting 2 by year-end.
Christopher Hall: It is. It is. I mean we still have -- we have 3 in now. We've had productive conversations with MolDX. Those are always a combination of some voice, but also there's a back-and-forth process with written questions. And we are -- we find that to be -- we're in a very encouraging spot. But we have -- and we are expecting -- we have all 3 moving along, and they're all moving along really well. And so we continue to feel like we're on track, Mark, to get 2 of those done this year. And there can always be some variability because the -- we don't control MolDX final clock. And one of the things that I think we all admire about what they do and the work they do is the seriousness for which they do it and really understanding all the details of the clinical studies. And so there could be more questions that cause more back and forth. But we think where we are right now and based on where we are, we think we're in a really good spot. That's why we still feel like we're on track to get 2 done. I would note that when we threw this out there a couple of years ago, it was a really ambitious target. And as we've come down into the spot, we've made tremendous progress, and we really derisked it. It was a really big deal this quarter to have a lung paper basically accepted. Now to have all 3 accepted and through the peer review process and be able to have the dossiers and be able to be in that journey is exactly where we want it to be. So we feel like we're in a good spot and those conversations have been positive and productive, and we're optimistic about where we are.
Mark Massaro: Great. And if I could ask one last one. Maybe as it relates to MRD biopharma would love -- appreciate some of the metrics you provided. Obviously, there's a lot of demand. Admittedly, it's off of a low base. But can you just talk about what feedback you're hearing from biopharma with respect to going down to 1 part per million and how you think that's resonating on some of these lower shedding cancers? And just give us a sense for how you're thinking about 2026 and 2027, if you can.
Christopher Hall: Yes. No, thanks for asking. It's I mean -- and I think it's more than just the lower shedding cancers, honestly, Mark. What we hear from biopharma companies is there's really 3 things they want, but there's a focus on 2. First of all, they want to fail faster on earlier-stage trials. And the key to that is being able to see quickly whether or not there is a signal because of the drug. And getting down and being able to see something to 1 part per million, the 40% of our positive results are inside that range. So they can just see it faster, fail faster and pull out of an early-stage trial. That's key right now for them and where they can use it. Later-stage projects getting to success faster means we can get the patients -- get the drugs in the hands of patients quicker. And again, when you can see the recurrence months ahead of imaging or any other approach, that's really powerful in order to get to the answer quicker and be able to yield more revenue on it. The last clinical use, quite frankly, is being able to enroll the right patients in the clinical trial where they use an MRD assay to be able to decide whether to put a patient in a treatment arm or not a treatment arm. And you really want to have confidence that when you call a patient negative, they're likely negative because that is enriching for success, and you really want to get that metric well. And there's been some challenges in the past around doing that really well for them. And so we get really positive feedback with that. So those are the things, 1, 2, 3. I will say they are the most discriminating buyers -- they put us through all kinds of checklist every time we do something. We run a lot of pilots, a lot of bake-offs that we wouldn't be having the kind of success we were having if we weren't performing and if we weren't building a global presence to be able to service these companies' needs. And so if you back up, it was just 2 years ago, we launched this test, the ability to go from that to starting to run large prospective clinical trials with some big biopharma companies is a big leap forward. And I think this is going to pay dividends in '26 and '27 and beyond. It's a really nice way to get paid for all the tests. It really helps us build the clinical evidence. And you saw the data. We talked about the data at ESMO this year at World Lung with AstraZeneca, where they talked about the use of ultrasensitive testing inside 2 clinical trials. And that really helps underline and cement the approach that we're pioneering. And so it's -- we feel like it will be a continued clinical evidence pipeline and revenue growth over the next couple of years.
Operator: Our next question comes from Dan Brennan with TD Cowen.
Daniel Brennan: Sorry, I joined a second -- a few minutes late. So is the government shutdown having any impact on MolDX? Like are they short staffed? Is that a factor? I don't know if you mentioned that.
Christopher Hall: We haven't seen it yet, honestly. We've been able to have the back and forth, and we don't see anything. I think all of us, just honestly, I've -- I'm always surprised a little nooks and crannies of things that pop up with this government shutdown. So you never know what the future holds. But right now, we haven't seen it. They seem to be working well. And remember, it's a private company that's been given the contract to both pay claims in the territory they have, but also make decisions about molecular genetic testing, these types of tests that many of the MACs in the country that -- many but not all defer to. So because it's a private company with a contract, we're not surprised that we don't see any impact from it.
Daniel Brennan: Got it. No, thanks Chris. And then can you just remind us -- I know, we met with another company that also has some filings with MolDX and they were referring to like standard cycle. So there's a cadence to how many turns this could occur. I mean, can you just remind us, I know when we had you in New York not long ago, just in terms of I think you filed breast in April. Is there a certain normal cadence that occurs? Like are you in the midst of a second turn or third turn or fourth turn? Just kind of walk us through like what the normal sequence of back and forth is, if there's like a routine to that and kind of where you guys sit?
Christopher Hall: Yes. Rich is going to jump in.
Richard Chen: Dan, thanks for the question. Yes, there is. And the back and forth that goes on with MolDX. Usually it kind of goes in 2-month cycles. And so -- and that usually results in a set of questions and response. It's usually a great dialogue, good questions. And so we're kind of going down that journey, both on the breast cancer side, but now also on IO and so lung cancer.
Daniel Brennan: Got it. And sorry, Rich, [ that ] I missed it, like is there typically like you start it and then it goes 2 months and then either it gets approved or they go back and then it goes another 2 months? Is there like a certain finite end in each cycle or it can kind of persist that would give us a sense of where you guys actually sit?
Christopher Hall: Yes. No, I mean, you typically -- you do the -- you send the submission in Dan and then there's a 60 days they have to get you the answer back. You may turn -- those are phrased as questions back to you typically about the data, about the test, about the assay, about its use, about your intent to use, et cetera. You're answering those questions. You can take as long as you want to answer those questions. You can do it overnight or you can do it in a month. And then when you submit those, the clock starts again for 60 days.
Daniel Brennan: Got it. Right so.
Christopher Hall: And there could be more questions. There could be new -- yes, there could be new questions that they could come up with as they continue to pour into the data and find new questions or there could be questions upon the questions, right? And I think about -- it's very much like a process where you go through to get a permit in a city in a planning department where there's questions on what you've done, and there can be questions to your response, et cetera. And that back and forth is usually gated by time periods of how long they have to respond to you. So yes, so we started it earlier in the year in mid -- breast. We thought that one would take a little longer, so we're rely optimistic to get that going because that's really their first way to engage with the test and the AV data, analytic validity data, which is sort of key to underpinning it all. And then we've got the IO going and then we've got the lung cancer ones going. And so we expect -- we've had back and forth on all those, and we expect to get an answer back on all 3 of them by the end of the year. I mean the process will go as it goes, but we feel optimistic that we're on track to get a couple of them done this year.
Daniel Brennan: Got it. And then -- sorry, one more. And in terms of your confidence, this year, obviously, it was based upon, I guess, historical precedent. I mean, I guess, you've got a handful of companies that have gotten approvals. Was there like an expectation it would be 2 cycles or [ 3 ] cycles or the 60 days? Or did you guys just kind of looked at the predicates and said, if we count forward, I'm just wondering since it's November 4, and it's always hard to predict like timing of the government, right? Or even if MolDX is a private entity, it's always hard to predict the timing.
Christopher Hall: Yes. There's variability. I mean remember, we put this go out 1.5 years ago, and we've come a long way to derisk it. And as we've continued to stick with it. It's also based on the strength of the evidence. This is really, really good data. The TRACERx data is probably one of the largest, most comprehensive data sets in MRD, certainly in lung cancer. The data is just phenomenal. The IO study is 200-plus patients, 18 different types of cancer, a really nice signal there. and the breast cancer data has been really great also. And so we did it based on the strength of the evidence, what we would expect in the others. But just to back up, like the goal of whether it leads a little bit into next year happens this year, like none of this is make or break for the trajectory of where we are or what we're trying to do. And we feel like we've made tremendous progress over the last 3 to 4 months on this and derisking it, and we feel really optimistic sitting here in November.
Daniel Brennan: Got it. And maybe a final one. Like assuming when you guys do get approval, I know you've been asked this a lot, but now as you get closer to that and you've had more time and more experience in the field with clinical customers and some pharma customers. How would you think about like that year 1 or year 2 ramp now? Like what would you point us to, to look at? It would be just to give us a sense, I mean, obviously, you have Tempus, which is a huge commercial engine. But just any updates on how we might think about breast, for instance, since that ideally could be the first one since that's when you file the first, like how that might launch, how you might try to kind of help investors think about that piece of that launch?
Christopher Hall: Yes. I mean we think that we're early stages here, and we think it will be a really, really great year on the backside of reimbursement. And we haven't guided here and provided numbers. But you're right, we'll turn Tempus fully loose, and we'll continue to augment their approach with some sales reps to really sort of augment and really cover the market in nuanced ways to help accelerate what they're doing. And we really learned how to do that over the last few months. And so it will continue to take hold. But what's happening at a high level in this market, and you can see this in -- and all the energy and excitement is that the data is really starting to come together in so many different ways that MRD testing provides incremental value. And to patients, to doctor -- to patients, doctors, clinicians, the data is looking great across multiple vendors or multiple people that are providing things. And I think the market's acceleration starting to pick up. I think you all are -- different analysts have said that we're probably 5% penetrated somewhere around that. So you can imagine if we double, triple the market and we can get a toehold on that. I think it's a -- I think we're in a -- we'll be in a really good position.
Operator: Our next question comes from Subbu Nambi with Guggenheim.
Thomas VonDerVellen: This is Thomas on for Subbu. Maybe a follow-up on the question earlier about the 2 large pharma customers and then just relating that to pipeline. I think those were around $5 million each. Is that roughly the size you'd expect per customer going forward? Or in the future, do you expect that account size to increase alongside your scaling of the business? Any color on the pipeline would be helpful.
Christopher Hall: I think -- yes, I think the -- I mean, I think as you penetrate these accounts, there is more than $5 million of potential inside of these large customers. So we expect that number to grow. Capturing in a large biopharma with multiple oncology trials prospectively being able to capture 100% of that share in a world where they're really using MRD, I think will be worth more than that. So I think we're early stages in penetrating that. But that's a journey in and of itself, too, right? You just don't go there overnight. We're making progress with it.
Thomas VonDerVellen: Okay. Great. And then maybe just a follow-up on -- within pharma, a newer account versus those more mature accounts, what's the difference in kind of order growth rate you're seeing? Are you still seeing acceleration among those mature accounts? And then maybe what's the typical run rate for some of those mature accounts?
Christopher Hall: Biopharma -- in biopharma?
Thomas VonDerVellen: Yes, biopharma MRD.
Christopher Hall: Yes. We -- I mean, it's -- there is -- most of our energy is focused on the top biopharma companies where they're spending large amounts of money on clinical trials. So you can imagine that set of customers, and that's where we're focused. And so it's a penetration drill because we're in most of those places right now. Some of the smaller biopharma, biotech companies are opportunities, but we're really probably focused on going deeper and winning more of the business inside these customers. And partly, I think ultrasensitivity opens up more opportunities for them to be able to do more with MRD technology. And so I think we're also expanding probably the market by a result of what we're doing as we pioneer this approach.
Aaron Tachibana: We're really optimistic about where biopharma is going to go as well. Over the last 2 quarters, the pipeline and funnel for MRD has grown rapidly. In addition, the orders that have come in for MRD projects have continued to grow. The challenges we've seen near term have been on the translational research side. And as Chris mentioned in the prepared remarks, we have been seeing some delays on the sample receipt side, right, which has been a headwind to the biopharma revenue. But overall, we're optimistic about where this is going.
Christopher Hall: Yes. I mean I will note that we had 2 large customers, Natera and Moderna that had declines this year. We expected, obviously, both of those -- Moderna because they -- it ended their -- it ended enrolling their Phase III melanoma trial, which really drove our numbers last year. And then Natera, we were winding that down this year. And so when you subtract -- you just look at the loss of that business and then where we'll end up this year, we're still going to grow this 40% this year. I mean it's still really nice growth. And the business is shifting, and the mix is shifting, and that opens up a set of challenges. But there's a -- that's really, really healthy growth, and that's been driven off the back of the progress that we're having with MRD. I would just note one thing for folks listening. So we really -- when we hunker down in this new world, we were really focused on managing the cash burn and making sure we were really prudent. And so our cash usage guidance has not changed this year. We've really focused on making sure we were really smart with our spending and what we're investing this year in the midst of what's been a challenging year because of some of the biopharma slowdown and managing through it. So we have been really focused on the financial discipline here of hitting the cash burn number and being really prudent with investors -- with investors' money.
Operator: Our next question is from Mike Matson with Needham & Company.
Michael Matson: So just with regard to Natera, so there was a big decline this quarter. I think it was expected. But is there any revenue expected from them in the fourth quarter? Or is it -- are they completely out of your numbers beyond this quarter? And then I assume it's not -- you're not expecting it in next year either.
Christopher Hall: No, it's very, very small in the fourth quarter. It's pretty small in the second quarter. We really started to bleed down in Q1, Q2 with the idea that Q2 would be sunsetting and at the end of Q2. And then we've just been doing cleanup or helping on some studies that we have been helping them with, because they probably want the same technology, right, or platform or whatever. So it's been -- but it's been very, very, very small. So it's bleeding down. And you see that in the numbers where almost all of our revenue this quarter was biopharma revenue, right? And so -- and which -- and we made -- and most of that revenue is just the diversity of clients. And so actually, when you really look at the numbers, I mean, we've come a long way of building a diverse set of biopharma customers and really what's now mostly a pharmaceutical-based revenue base. And of course, that will start to change as we get Medicare reimbursement and we start to layer in the clinical and it starts to grow rapidly alongside that. But we've really transitioned the revenue profile really, I think, overall, really positive way for the company, and you're seeing that right now in those numbers. So Natera is pretty much out of it.
Michael Matson: Okay. Got it. And then just TRACERRx (sic) [ TRACERx ] trial, any expectation on when that will be published? And then where do things stand on colorectal with getting a dossier put together for that in terms of the data, trials, et cetera, you would need there?
Christopher Hall: Sure. Rich is going to jump in, Mike.
Richard Chen: Yes. So the TRACERx study should be published in the next quarter sometime. So that's going to be great to have that come out, a really strong study, over 400 patients, non-small cell lung cancer. So it really will be a great summary of how strong the performance with NeXT Personal is in non-small cell lung cancer.
Christopher Hall: And in CRC, we're just starting the journey there. It will be one of our things that we'll work on this next year. But the investigator still has to decide that, that particular study is time to wind that down and submit that data for publication, and we're not there yet. So -- and when that happens, then that will be submitted. And obviously, we can't submit for coverage until it's accepted. And so we're still on that -- we're still early in the journey on CRC.
Operator: [Operator Instructions] Our next question is from John Wilkin with Craig-Hallum.
John Wilkin: So I wanted to just press a little bit more on the molecular volume growth in the quarter. I know you guys had -- you guided earlier in the year to expecting 30% to 40% sequential growth, and you kind of talked through some of the reasons that came in short of that. But I mean, just given the stock reaction, I think there might be some concerns out there that with a couple of other players launching MRD tests in the market, there could be other factors driving that kind of below that target range and given you had also given that before you had reimbursement. So maybe you could just drill down a little bit more on that and talk through anything that was impacting the volume growth?
Christopher Hall: On the clinical side, no. I mean, we're -- I think we've said and Tempus has said that we want to be really smart with where we are and we have not -- we've certainly not seen any slowdown. The retention has been high, and we've continued to add some new clients, but not at a torrid rate as we've pulled back a bit, but the retention has been super high. And I think nearly 30% quarter-over-quarter growth in what's traditionally a pretty flat quarter is actually really, really strong quarter. The numbers are starting to get bigger, quite frankly, too.
Aaron Tachibana: Yes. So we were thoughtful. So with revenue only $14.5 million in Q3, John, we did pump the brakes a little bit on volume, primarily because we have to balance margin dilution and cash usage as well. And then the other point that Chris mentioned earlier was in the third quarter, typically, you do have some seasonality, right? And the goals that we set out over a year ago were 30% to 40% quarter-over-quarter growth. And like Chris had said previously, we've already achieved the level that we had targeted [ albeit ] at the end of the year, a quarter early. And so we didn't see a need to go overboard and push forward more volume in the third quarter and then drive margins even lower, right? So you have to kind of appreciate what we were trying to do in terms of balancing cash burn and margin dilution as well.
Christopher Hall: Yes.
John Wilkin: That makes sense. Appreciate the clarification. And then wondering if you could talk through just anything you've been hearing from the field through your conversations with Tempus and what their -- what sort of feedback their sales team is getting. I know they haven't been talking too much about MRD yet, just in advance of reimbursement, but any early feedback you are getting and talk about any like ordering patterns with the 700 ordering physicians you're at now?
Christopher Hall: Yes. I mean I think one of the learnings is, we were -- collectively, we were really the first set of companies to really pioneer this notion of the one-stop shop along with the ultrasensitive and combining that together and stitch it together. And I think that's been a really compelling value proposition. I think physicians want to get all this together in their case, by the hereditary test, certainly the CGP and the MRD. And we've gotten really positive feedback about the approach that they've taken. And we've -- the customers when they start ordering have largely stayed with us. It's great to have a test where 40% of the positive results are unique and differentiated. And that allows us to underline the value that we're delivering every day with these doctors. So the feedback has been super positive, and we've been able to keep the growth going, and we really focused this last a couple of quarters, we said, really learning the logistics of the business and how to win more business within accounts. Because ultimately, it's going to be depth of penetration that's going to make a difference within accounts.
Operator: Our next question is from Arthur He with H.C. Wainwright.
Yu He: This is Arthur on for RK. So just a quick follow-up regarding the clinical test growth. Could you just give us some more color on the -- how these growth will be driven by? It's more from the increase in the physician numbers or new physician numbers or it's more from the test number per physician getting increased to push the test number?
Christopher Hall: Yes. I mean we -- a little bit of both, but I mean, we've been really focusing on not so much trying to grow top line, but getting more out of the accounts. So because I think we've learned how to sell physicians, and that's one way to "manage the investment" that we're spending, is not focused on driving deeper and faster and quicker growth within the -- within the physician community, but rather really focusing in on going deeper. And so that's been the crux of a lot of the growth that's getting more from these accounts.
Operator: Ladies and gentlemen, with no further questions in the question queue, it brings us to the end of this event. Thank you for attending, and you may now disconnect your lines.